Operator: Welcome to Solvay's Q1 2021 Results Conference Call for Analysts and Investors. Solvay team, the floor is yours.
Jodi Allen: Good afternoon, and welcome to our first quarter 2021 earnings call. My name is Jodi Allen. I'm the Head of Investor Relations. And I'm joined virtually by our CEO, Ilham Kadri; and our CFO, Karim Hajjar. Today's call is being recorded and will be made available for replay on the Investor Relations section of our website. I would like to remind all participants that the presentation includes forward-looking statements, which are subject to risks and uncertainties. You may refer to the slides related to today's broadcast, which are available on our website. With that, I'll turn the call over to Ilham.
Ilham Kadri: Thank you, Jodi, and hello, everyone. I'll begin my remarks today with a health and safety overview shown on Slide 3. Today, we have 124 colleagues who are infected with COVID-19, which is a similar level versus last month and 121 employees in quarantine. We wish them all a quick recovery. At this time, we continue to follow our remote working routine globally to ensure high levels of safety. We're also utilizing our Solvay Solidarity Fund to show our support in the communities in which we operate, especially in India and in Brazil, and we sincerely hope that the critical situation starts to improve anytime soon. Moving to results on Slide 4. As you -- as most of you know, chemical industry is, in fact, a good barometer for economic activity. And it is logical that our Q1 performance clearly reflects the recovery in many of the markets we serve. For Solvay, it's in fact about some RRRs here, resilience, recovery and now reinvestments to prepare for the rebound in 2022. The more resilient markets that weathered the storm well in 2020 continue to deliver good volume growth in Q1. These markets include home and personal care, coatings, agro and food Industries and health care. Second, other markets that began to recover in the fourth quarter, such as automotive, electronics and building industries showed an accelerated growth from quarter 4 into quarter 1 delivering double-digit growth. Three, we are also highly encouraged by the beginning of the recovery in other markets, including the mining industry as well as some of our commodities going into industrial markets. So altogether, this improvement in activity levels supported year-on-year top line growth in almost 90% of our portfolio. And you won't be surprised that our civil aero, oil and gas, and to a lesser extent, a portion of our soda ash business continued to face challenges. However, it's important to know that even these challenged areas began to show improvement in quarter 1 sequentially versus quarter 4. Now moving to Slide 5. In fact, our group sales, excluding composites and oil and gas, grew by 8.6% organically year-on-year and grew by 7% sequentially versus quarter 4. And this was despite the Texas winter storm conditions that impacted the raw materials availability and logistics, resulting in force measures across the industry. We estimate the total impact for these storms at about EUR 25 million of sales in the quarter, and indeed, Novecare was most affected. Notwithstanding the improved momentum, which saw sales progress to nearly 2% relative to quarter 1 2020, they were still around 2% below Q1 2019 levels organically. Now regionally, we saw double-digit sales growth in Asia Pacific and Latin America, with China domestic sales growing by 30% year-on-year and superior growth relative to the general economy. The U.S. is still down by double digits versus last year, as you can imagine, mainly due to higher exposure to civil aero and oil and gas industries for our businesses. But it's up by 4% sequentially. Europe is roughly flat versus Q1 last year, but up 8% sequentially. But in fact, the recovery is only part of the delivery. The broader range of measures, tackling costs and cash that we initiated back in 2019, remember, when we launched our growth strategy, were deepened and accelerated during the crisis in 2020, and this is enabling us to deliver strong bottom line results reflected in the improved quality of earnings. Our cost actions remain on track, and we delivered an additional EUR 80 million of structural cost savings in the first quarter as we continue to accelerate momentum and this delivery compares to EUR 45 million of structural savings in quarter 4. These structural cost actions, combined with the recovery in certain markets supported our delivery of 10% organic EBITDA growth and the new record EBITDA margin of 24.6%. This is 1.6 percentage points higher than Q1 2020 and 2.4 percentage points higher than Q1 2019. Moving to cash. The organization has continued its disciplined approach, and we again achieved solid results in quarter 1, delivering EUR 282 million of free cash flow. This is 40% higher than Q1 last year and is a clear evidence of our progress towards improved and sustainable cash generation. Moving to Slide 6. We are focused on the rebound, and we have taken decisive actions to reinvest in several projects, key projects, whilst maintaining strong rigor and discipline. Many of these reinvestments are not new to you. And they are related to customer partnerships where we have established full commitment to supply future growth. These investments are directly aligned with our growth strategy and growth platforms and will be key contributors to our organic growth in the years ahead. These include investments in capacity expansions and in research and innovation. Let me share with you some of these investments. First, we are again investing in PVDF for EV batteries. By 2022, we will have more than doubled our capacity in France and China. Second, we are expanding our Tecnoflon fluoroelastomers production in Italy by more than 25% and 15% in China. This technology is in strong demand in the automotive and electronic markets. Third, we have various high technological polymers like PVDC and sulfone polymers that are used in health care, which was proven resilient during the crisis and remain a growth area for us. In France, we are expanding by more than 30% and indeed in India by 5%. We are again expanding our high-purity H2O2 peroxide grade for electronics in China by about 35%, so basically doubling since 2 years ago. Last, we are investing in our bio-based ingredients, used in hair and skin care products, in France by more than 15%, and we have more than doubled our capacity of bio-based products in Brazil for consumer and food industries. Another type of investment is our investments in Solvay One Planet. And today is a big day for us and for soda ash team. We are announcing the full phaseout of coal at our Reinberg plants in Germany, which will be the first soda ash plant in the world to be powered primarily by renewable energy, using biomass or scrap waste wood chips. This will reduce Solvay's greenhouse gas emissions by 4%, and will establish a new reference at the lowest emitting soda ash plant in the world. It is also an important moment to celebrate today. Three of our businesses, namely Specialty Polymers, Novecare, and Aroma businesses are now 100% sourced by solar electricity in the United States of America. Let me now move to innovations. Today, we are also celebrating the official launch of our non-fluorosurfactant technologies, which will be in full production at our West Deptford, New Jersey site by June. At that point, Solvay will no longer use fluorosurfactant process aid in West Deptford or anywhere in the U.S. I'm very proud of our research team, who first tracked this important innovation. I'm also very proud of our sales team for collaborating closely with our customers to qualify the new products in a record time. It's a powerful example of our innovation at work and aligned with our sustainability drivers. I'll share one more example of innovation. This one related to the composite material business. I like this one very much because this business has faced significant headwinds in the civil markets, as everyone knows, yet the defense and space markets have remained resilient and a source of innovations for us. Two examples of this are the Vega rocket and the Vulkan launcher, which both utilize critical composite materials from Solvay. In fact, we don't often speak about the space industry, but it's part of our rich history, and I bet you may know or we didn't know that Solvay materials were on board in the Apollo 11 mission that sent humans to the moon for the first time in '69. And we continue to provide innovative solutions to solve the future needs of the space exploration. But let me tell you, the most important is our investments, which go beyond capacity and innovation, they are also about our best assets, our people. Of course, these investments are not nearly the same magnitude, but they are included in our plan. Our frontline sales force, global key account managers are developing winning strategies. We ask them to increase share of wallet to value price our solutions and drive innovations that make our customers win and make us win with them. And we have changed our sales incentive plan to align with this principle. Finally, we are also investing in more digitizing in Solvay. I believe digitalization will transform the industry and certainly our company. This is going from customer data mining, to manufacturing, to research and innovation, to back office automation using AI and robotization or in cybersecurity, of course, making our operations safe and resilient. And now Karim will review in more detail the group's segments and financial performance.
Karim Hajjar: Thank you, Ilham. Good morning, good afternoon, everybody. Before I dive into the segments, I'd like to remind you that we indicated in February, a full year EBITDA impact of scope and currency that we estimated at EUR 120 million. And you can see today that Q1 includes EUR 41 million of impact, mainly from currencies, and to a lesser extent, scope impact as 5 businesses were divested during the course of the first quarter. And the last one, in fact, just closed at the end of April. Now I will refer you to slide #7, which provides a view of our market exposures by the group and each of the segments, and this may help you to better appreciate the significance of some of the commentary. In addition, we've disclosed for the first time the regional sales for each business segment, which I'm really hoping gives you more insights, helpful insights, into our global businesses. Now I'll start with an overview of the 3 business segments, and I will refer to all figures on an organic basis, by which I mean constant scope and currency. Starting with materials on Slide 8. Net sales in the quarter -- in the first quarter, were down only 7.5% organically versus last year, which is actually quite remarkable given the fact that demand in solar was still strong in Q1 2020. The overall achievement reflects strong performance in our Specialty Polymers business with robust demand across various markets, driving 10% organic sales growth in polymers. Now this was driven by 19% organic growth in automotive, once again outperforming the market. As you heard Ilham say, we are investing again in this important platform to support rapidly growing demand. As a reminder, you can find Solvay polymers in many area of a vehicle in demanding really challenging under-the-hood applications and in many applications within and surrounding electric vehicle batteries. Our leadership position supplying PVDF to batteries continues to forge ahead, sales growth of 80%, 8-0 in the first quarter year-on-year. As a reminder, our polymer solutions for electric vehicles are agnostic to the type of battery. The combination of our global infrastructure and local geographic positions is particularly valued by our customers, and we continue to win new business. The electronics market also gained momentum following a strong fourth quarter, with polymer sales growth in electronics of 14%, driven by semiconductor and small device applications. The team continues to win new customers, a recent example being Atlas Copco, where we just won a multimillion-euro contract in semicon fabs. And we have more examples of new business wins where we are replacing metal with our polymer solutions to address the most demanding performance requirements. The composites team continues to do a great job in our view, mitigating the headwinds in the civil aero market. As I indicated, sales in this business were down 42% from last year. But more importantly, and for the first time since the second quarter last year, the business delivered sequential sales growth of 8.6% versus Q4. The signs of modest improvements in single-aisle aircraft are there, yet the road to full recovery, as we know, will be a long one. I will also remind you that composites delivered record EBITDA levels in Q1 2020, as its cost reduction programs overcame at that point, volume reductions related to the 737 MAX. As you know, our swift cost reduction actions helped to improve operating leverage and resulted in a strong sequential profit increase, which is evident when you compare our results with others in that market. I will also highlight one other achievement and that the composites business has, in the meantime, also successfully implemented SAP continuing to serve customers without fail. Now these projects are complex. They should never be taken for granted, and we're really proud that our team managed to carry this project out on time and on budget, with everything else that they have to contend with. To wrap up materials. Segment EBITDA in the first quarter was contained to only a 4.7% decline year-on-year despite a 7.5% decline in sales, and it increased sequentially by 35%, thanks to higher volumes, sustained pricing, and of course, deep cost reductions, especially in the composites business. Moving to chemicals. On Slide #9, you see that first quarter sales in the segment are up 6.1% organically. Now soda ash continued to improve sequentially, up 2.2% in the quarter driven by volumes, but they remain 3% lower than Q1 2020 due to lower contract prices, which we had all expected. We see continuing recovery in building and construction, which supported growth in flat glass, whereas demand for container glass, which is used in hospitality, restaurant and catering industry remained weak, of course, due to the continued lockdowns in many countries. We are also encouraged by the recent export price increase announcements in the market, which will help to restore a more sustainable price level as we capture new volume opportunities. Sales increased 8% in our bicarbonate product line, which incidentally represents about 25% of the soda ash sales. The growth was driven mainly by our Solvay technology, which is used as flue gas treatment for cleaner air. This product reduces emissions of gases, caused by highly polluting facilities such as power plants, waste incinerators and indeed even ships. In fact, we're making a small investment with attractive economic returns due to continuing strong demand in our leadership positions. Peroxide sales were down 4.7% organically compared to Q1 2020, reflecting lower volumes in the pulp and paper market in North America, in Europe, which are down about 20% and due to the declining graphic paper market. Market conditions remained strong in HBPO, this is used to produce polyurethane firms for industries, including automotive and building. And this part of the business delivered continued strong growth. Turning to silica. Sales were again strong, up about 8%, thanks to the continued recovery in the automotive segment and market share gain, including with key customers, driven by interest in our recently launched innovations. Our recent partnership with Bridgestone and ARLANXEO is drawing a lot of attention, as demand for more sustainable solutions is increasing rapidly from tire manufacturers. And these wins and strengthen partnerships are helping us to outperform and to further reinforce our silica's business leading position as a sustainable innovator in the tire industry. Coatis had a record quarter, with sales up 55% due to strong volume growth and significant progression in prices clearly in favorable market conditions. Volume increase includes both winning new customers and achieving share gains at existing customers. Over the past year, this business has taken strong action to optimize its cost structure in line with the strategy. And it's a good example of how has this has helped to support the improved margins. Coatis is expected to continue to perform well, but we're mindful about also the recent resurgence of COVID cases in Brazil. Just want to watch. Overall, the EBITDA of the chemicals segment was up 8.7% compared to Q1 2020 and increased sequentially by 15%, mainly driven by strong results in Coatis and Silica as well as our Russian recently new joint venture driven by strong demand and high prices of PVC. The combined performance resulted in an underlying EBITDA margin of 30.4% for the segment in Q1. Next, I turn to Slide 10, where you can see that the solutions segment delivered volume growth, sales growth of 6.4%, beginning with Novecare. Sales, excluding the oil and gas market increased by 13%, versus Q1 2020, with continued growth in coatings, in home and personal care and in agro markets. Actually, Novecare results would have been even higher, had it not been to the loss of around EUR 20 million in sales related to the winter storms in the U.S. and the subsequent disruption it had on supply chains and on the availability of raw material. We continue to see high demand in the hygiene market with natural and sustainable ingredients being clear drivers of long-term growth. And we are well positioned. We've also seen activity levels improve in the oil and gas sector, which grew 11% against the fourth quarter of last year, yet sales were still down 21% year-on-year. Special Chem had another good quarter with sales up 8.6% against last year, both the automotive and electronic sectors, which today represents about 60% of the sales, at pet chem were very, very strong in Q1. Now while demand from the semiconductor market is expected to stay strong in the upcoming quarters, we started to see an adverse impact related to the chip shortages around quarter end. And this could result in a temporary dampening of sales in the auto markets in the second quarter. In Technology Solutions, Q1 marked a strong rebound in the mining industry, with sales up 14.5% in the quarter. Growth was driven by mine reopenings, particularly in copper, as COVID disruptions were overcome and these were supported also by a higher copper prices, leading to robust demand for our specialty extraction solutions. The business also enjoyed share gains in Latin America. In Aroma, sales were down slightly by 1.6% in the quarter after a number of quarters of sustained strong growth. The core business, which led to hydroquinone inhibitors in vanillin is resilient while we are developing further on natural vanillin activity. Wrapping up solutions, the segment enjoyed EBITDA growth of 21% against Q1 2020, reflecting the strong and continued recovery across most of the markets we serve. Focused cost reduction measures also supported the EBITDA margin expansion, up to 19.4% against, you remember, 17% just 2 years ago. This improvement reflects a combination of volume growth and disciplined cost reduction, consistent actually with the optimization mandates that we announced to you with our growth strategy back in November 2019. Moving to costs, shown on Slide 11. We continue to make excellent progress towards our targets, and we achieved EUR 80 million of new structural savings in the first quarter, nearly doubling the EUR 45 million achieved in Q4. Now the main areas of delivery included restructuring, reduction in labor costs contributed EUR 32 million. EUR 20 million of which in general and administrative functions and EUR 12 million in industrial functions. About half of these restructuring savings were driven primarily in the composites business. Indirect cost reductions of EUR 40 million were delivered as a transversal programs build momentum and bear fruit. Productivity efficiencies continue to deliver on our sites, and they totaled EUR 9 million in the quarter, and these impacts are variable costs. And the EUR 80 million compares with the full year indication of EUR 150 million that you will recall, we announced at the beginning of the year. Now some of the delivery represents continued acceleration and is, therefore, more of a phasing nature. That said, I can advise that we now expect to deliver around EUR 200 million, not EUR 150 million in structural cost savings this year, which would bring the expected cost reduction delivery across both 2020 and 2021 to EUR 375 million once we get to the end of the year. The cost reductions that we achieved in Q1, together with the volume growth, supported EUR 583 million of EBITDA, a 10% increase versus Q1 2020. It's actually also worth noting that the EBITDA was around 7% stronger than in Q1 2019, and that's despite the fact that sales were down 3% on an organic basis over that same period. Next, I'll turn to Slide 12, and we'll talk about cash. Our performance again was strong, with free cash flow generation of EUR 282 million. As a reminder, Q1 last year benefited from EUR 65 million in one-off taxes -- cash taxes. Taking that into account, we essentially doubled our cash delivery from Q1 2020 to Q1 2021. Our strong EBITDA performance clearly supported that. But in addition, what we see is a EUR 63 million improvement in working capital. The evolution of working capital needs reflect the market conditions as they continue to improve. From an operational point of view, we are setting new internal records. For example, overdues, which were a record at the end of last year, progressed even further and now stand at 1.5%, a significant improvement on prior historic levels, which were in the mid- to high single digits. So really, really strong, 1.5%. Our working capital sales -- working capital to sales ratio stood at 12% at the end of the first quarter, and that compares to 16% in Q1 2020. And this reflects the structural improvements that we've been sharing with you as we drive, but also reflects the fact that inventory levels are very low. As we look forward, we will maintain the strong discipline, which is now fully embedded everywhere. But we will also not hesitate to invest wisely in inventories and working capital to serve our customers as they grow as well. We also benefited in Q1 from a EUR 63 million improvement simply from the timing, the phasing of our Capex, which were lower in Q1 this year, mainly to industry delays and disruptions related to the weather and logistics. Now projects have begun, spend rates will increase this year as we invest to keep up with the growing demand in some key markets, as Ilham described to you earlier. The other drivers of free cash flow include our pension cash outs, and you can see the benefit from the actions we've been taken -- taking in the last 18 months, this quarter, EUR 14 million alone and a lower pension cash cost compared to Q1 2020, which again was lower than prior years. Just a few comments on our net debt. At the end of March, our net debt was slightly down compared to the end of 2020. Remember, we paid EUR 155 million of interim dividend in January. Take note of the fact that we made an additional voluntary pension contribution of EUR 102 million in our Belgian plans, which brings the cumulative voluntary contributions to pensions to a total of EUR 768 million. You'll recall, this time last year, that Moody's revised its credit rating outlook to negative about a year ago on Solvay. And actually to a large number of companies as well as we were entering this period of uncertainty last year. So we were very appreciative of the fact that on the seventh of March 2021, Moody's recognized our progress with its announcement that stabilized our rating at BAA2, making us amongst the first companies to return to rating stability. After the wave of sector-wide negative rating actions taken last year. And with that, I'll hand you back to Ilham, who will provide our outlook for the remainder of the year.
Ilham Kadri: Thank you, Karim. As we emerge from the crisis, it is evidence that our results denotes resilience, which can be seen in our improved operating leverage, which, by the way, is in the top quartile of our peer group and by the continued strengthening of our balance sheet, evidenced by strongly reduced leverage levels. I now turn some comments on the outlook for the remainder of 2021 shown on Slide 13. As we look ahead, our outlook assumes the current conditions in our key markets will continue into the second quarter, where we already have good visibility into our order books. Top line trends have continued into April, so we estimate sales performance in Q2 could reach similar levels. Though profitability is likely to be impacted by an expected escalation of raw materials, energy and logistics costs. Our current estimates of additional cost is between EUR 150 million and EUR 200 million for the full year after hedging and pass-throughs. To put this in context, this represents about 3% to 5% of the total variable expenses. As you can expect, we have plans to mitigate these inflationary headwinds by raising prices and leveraging our procurement capability, and we have integrated these expectations into our outlook. Looking further ahead, I've highlighted that there is limited visibility and there is uncertainty, notwithstanding the encouraging progress in vaccine rollout in parts of the world. Given these factors, we estimate our full year EBITDA to be in the range of EUR 2 billion to EUR 2.2 billion, representing a 10% to 20% growth on an organic basis. To put that range into context, our EBITDA in 2019, on a comparable basis, including exchange rate and scope changes, amounts to EUR 2.1 billion. In fact, this implies that we have a good chance to be back to 2019 EBITDA levels by the end of this year, which would mean that our cumulative structural cost reduction actions will overcome the lag of 10% of our portfolio that will take longer to recover. We expect also our full year free cash flow to be around EUR 650 million at the top end of our prior range between EUR 600 million and EUR 650 million, as this enables us to continue to invest with discipline in CapEx and working capital and fund a higher restructuring costs. You will also remember that the company pays employee bonuses and financial charges in the second quarter, and so you can expect the second quarter cash generation to be seasonally impacted. To finish with, I'm very proud of Solvay people achievements, from the mobilization of our teams to the spirit of solidarity throughout the organization. Also, I know that the 6,500 people who were helped by the Solvay Solidarity foundation who would join me in expressing their appreciation and deep gratitude for the generosity of our shareholders and directors and for Solvay's top leaders who donated 15% of their salaries last year. And our results clearly demonstrate that our strategy is also having a real impact, not only culturally but also on the bottom line. I firmly believe that we are emerging stronger. We are reinvesting in some exciting areas, which will fuel our growth for the years ahead and we will continue our transformation to a simpler, leaner, more specialized organization. Thank you very much. And with that, Karim and I will now take your questions.
Jodi Allen: We will now be moving to the Q&A part of the call, and I ask that you kindly limit yourselves to 1 question per person, please, so that we can address as many people as possible today. Moderator, I pass it over to you.
Operator: [Operator Instructions] And the first one is from Lisa De Neve from Morgan Stanley.
Lisa De Neve : And really, congratulations on your very strong performance to date. If I just have one question. I mean, could you provide us with some granularity on your free cash flow guidance? So you've essentially lifted your free cash flow guidance to the top end of the range. While you pointed to EUR 50 million of accelerated structural savings this year, EUR 50 million net working capital saved. So it -- is your free cash flow guidance is conservative? Or is some of the structural sales offset by your raw material guidance or some of the bonus payments we will seek in the second half. So any granularity on the bridge here this year would be very helpful.
Ilham Kadri: Thank you very much, Lisa, for your words. Much appreciated. Karim, would you like to take the free cash flow and I can complete if you want?
Karim Hajjar: Of course, with pleasure. So Lisa, you'll recall that last year, we highlighted a number of non-repeat items in our cash flow. So I'm just going to take you through a bit of a reminder. We delivered EUR 963 million last year. And as a reference, one needs to make a few adjustments, we highlighted non repeats in relation to working capital and tax, but also recognize that scope and foreign exchange also have their impact. The combination of those 2, and we said that in February, in fact, was that the reference point against which to look forward at 2021 is EUR 650 million last year. Now we mentioned a few things that I'm going to take you through the key building blocks. We also said that we're going to be increasing our restructuring costs, our cash spend. Last year, we spent EUR 90 million. And as we accelerate, the momentum we said, we're going to increase that EUR 150 million, that's a EUR 60 million increase. We also said that we're going to reinvest for growth and with the guidance we gave of EUR 700 million, EUR 750 million, which is not changing, means an additional investment of EUR 90 million to EUR 140 million in 2021 compared to 2020. Now against that, we will absolutely benefit from all the actions on deleveraging, and that's worth of EUR 90 million on the other side. So if that was all that was happening, there's no other activity change, profits wherever, you can do the math now. Clearly, we are in growth mode, and you can see the first quarter results. The outlook gives you an indication of what that would look like. Now higher profits will require an investment in working capital to support the growth of our customers. But as we've said, we will maintain the discipline. That is the key -- these are the key elements that we believe will absolutely get us to what we now believe is at the top end of the range we gave previously of $650 million. I wouldn't call it prudent, I would consider it to be realistic, given all the moving parts that I've highlighted.
Ilham Kadri: So in brief, Lisa, it's rebuilding the working capital, and it's a good problem to have, and we are here to take orders to build them. And if the activity is as strong as we've seen, we'll do what it takes, disciplined Capex. And we've seen us since 2019 centralizing the allocation of resources. So we'll be highly disciplined with the right IRR and align with our growth strategy. We don't derail from that. And number three, you know that we have a higher restructuring cost. I think it's EUR 150 million right Karim, with provision?
Karim Hajjar: Coerect.
Ilham Kadri: And this is what, EUR 60 million year-on-year, more than 2020 to give you an idea. So all in all, I think this is realistic. Obviously, we want to do right for the year when I own the microscope, but when I on the telescope to ensure that we are reinvesting for the rebound in 2022. Back to you.
Operator: So we have another question from Alex Schwartz from Barclays. Sorry. It is a question from Martin Roediger from Kepler Cheuvreux.
Martin Roediger: Thank you. Regarding the additional costs of EUR 150 million to EUR 200 million you guide for 2021 for raw materials and energy, can you talk about the phasing of that figure? I mean, how much has already booked in Q1? How much is to expect in Q2 and so on? And is there a time delay in passing on higher input costs to customers. The reason I'm asking is because you mentioned that the earnings level in Q2 would be probably on the same level as in Q1. But normally, there is a seasonality and that Q2 should be better than Q1. So is it right to understand that margin squeeze from raw materials will be the highest in Q2 and then ease then in the quarters to come because then you do the actions and you raise selling price and things like that?
Ilham Kadri: Martin, right. It's a great question. I'll start high level and then, Karim, you can deep dive probably. Well, listen, Martin, we may surprise you, in our case, and we elected to be very transparent with you in terms of our estimates. And this is all estimates, right? In our case, we didn't see much of raw material inflation in Q1. They were in the teens million, right? But we do expect because of our good contracts, et cetera. So that's good news. And we did expect, actually, we entered the year already expecting inflation, right, not at the level it is today. So we expect increases to be relevant in quarter 2, right? What will happen in H2? Frankly, I don't have a crystal ball. And I know that many people are looking at H2 to be less inflationary, other is more inflationary. I think you know me by now and you know us, we don't put a hope in plan. We plan for the worst, and we act on it. So we are, as we speak, driving price initiatives, right, to meet [indiscernible] the strong demand. Karim can give you a bit of details around the raw material, obviously, logistics and energy bills. And let me just tell you the mitigation, what we are doing about it is 3 things. First is pricing and pricing and pricing. You may know that more than half of our business is contracted with mechanical pass-through, so this has to happen. Although this year, we're going to review our formulas and our contracts for the next year. The rest is there to be negotiated. And we are increasing prices as we speak whenever we can. We have a good track record of price power, right, in the company. I would like us to become really a leader in pricing wherever we have unique specialized products and we can -- we bring value to our customers in the value chain. The second piece is our leveraging the procurements and the relationship with our suppliers. And you may remember in 2019, and I'm not sure it's resonated with all of you at that time, when we created the W of grow, winning a Solvay ONE, we created a global procurements group, right, which is now led by a new Chief Procurement Officer who joined us a year ago. And leveraging the procurement across Solvay is just an amazing opportunity for us to leverage our relationship with our customers. We are doing the auctions for the first time in our lives, turning it from anecdotes to really materially impacting the bottom line. And the last but not the least is innovation. You know that -- what I believe is that innovations are either cannibalizing your existing products, and bringing higher-margin or at the minimum, the same, but also -- and more delivering new businesses at higher margin. Therefore, in the long run, we should not only defend today's margins but although extend them. Maybe, Karim, you can give to the audience some color on the spending.
Karim Hajjar: Sure. Let me start by confirming that Q1, we only had something like just under EUR 15 million of inflationary spend on these variable costs. And again, rather than just talk in very general terms, if I look at logistics, not everything is going up, sea transportation, is -- there's an uplift in there, near 18%. If you look at current freight rates today, but rail and road on nearer 2% and 5%. If I look at some of the minerals that we purchased for our products, palladium, silica, we're looking at 5%, 10%, type of cost increases. A number of the commodities derived from crobi -- cumene, ethane oxide, phenol, all of these are important to us. We're seeing double-digit growth there. So fundamentally, what we are doing exactly as Ilham said, is mitigating on 2 fronts: pricing and cost mitigation. So there's a lot of effort going into doing that. Now the question on phasing is really, really important. Even where we have contractual arrangements that enable us to pass-through cost increases, there is a time lag. And it really is almost contract by contract. Minimum, you can expect a month to 2 months, but it can take 4, 5 months as well. So it is absolutely reasonable to assume there will be some margin compression in some businesses, to some extent, only to the extent we can't compensate. So we can't really give you more color beyond that other than to say that this is what we see today. The environment clearly changes quite fast. It's an inflation environment that everybody is impacted by no doubt you're hearing from others and other industries as well incidentally. And what we intend to do is to overcome.
Ilham Kadri: Yes, definitely. And to finish with, just to tell you, this is not a normal inflationary environment only because there are a lot of force measures that you've seen now after the Texas winter crisis, et cetera, and scarcity of logistics. So when there are special signs, you have special measures, and that's also what we are adopting as we speak. Back to you, operator.
Operator: We have another question from Geoff Haire from UBS.
Geoff Haire: I think, Karim, you said that due to chip shortages that you would expect some dampening of the sales growth in Special Chem in Q2. Is that the only business where you see the impact of chip shortages? I was thinking particularly about Specialty Polymers given the auto exposure, and that seems to be a big, obviously, talking point at the moment?
Karim Hajjar: I'll kick off. You're right. I highlighted because we have direct sales into that, but the indirect impacts into auto are clearly very significant. Maybe Ilham, you want to hold talk about that? Would you take it?
Ilham Kadri: I think who is that? Is that just Geoff? Yes. So yes -- no, I'm not sure what we say. We need to check it now. We don't see that. I mean, in semiconductor market, as you know, there is major investments by our customers, right? And I think I mentioned when investments are highly purified issue to, which goes exactly to the electronics segments. And frankly, I'm very excited about that. We have unique technology. We are, by far, a leader, not only in peroxide but actually downstream into highly purified, and we do it with agility and we can localize and customize it. So our customers and more to come in the future. On the auto, obviously, indeed, auto has been very strong, right, quarter 4, quarter 1, and we grew about 20% versus Q1 last year. It's a recovery, but as you can read the press and hear the OEMs, it's impacted by the semiconductor shortages here and there. And you've seen many operations and many OEMs assembly plants closing down because of the semiconductors. So LMC didn't change their forecast so far. Maybe that is not going to hit the double-digit growth. I think we all believe, including researchers who deviate from LMC that Q2 will be still strong, right? In terms of, yes, filling the value chain, which was much depleted which is the case for our products in summer last time. Now the H2 next year, I can also see that some people forecast a slower maybe growth rate in the auto industry, right, due to the semiconductor shortages. Okay. But all in all, I think we -- our order book in April is a high records all time, right? So it has been still extremely strong for the next 3 months. We have 3 months visibility beyond that. It's a bit of far away, but we are discussing with our customers. We are close to all our OEMs more than ever because they are all switching PV to EV, and most of them have announced 100% even EV vehicles, hybrid or pure electric by 2035. So very, very connected with our customers to discuss future investments in batteries and PVDF. And we take -- I take the opportunity personally at our presidents in Specialty Polymers as well to discuss about how they see the year and getting more clarity on their order book to ensure that we plan accordingly. And the last point for Specialty Polymers, which you've seen, has done a great job and double-digit growth, and I'm so excited to see Specialty Polymer for 2 quarters in a row growing and really excited about that. That's crown jewel is going to continue delivering. And we also lighten the cart. so's penetrate in an automobile. We don't just sell what exists but one -- the core competency of our business is to replace metal at lower total cost of ownership, you consume less fuel, you emit less CO2, it means cleaner mobility. Back to you.
Operator: So we have another question from Matthew Yates from Bank of America.
Matthew Yates: I'd like to ask about the soda ash business. So there's a few parts here. So firstly, on the announcement today about the biomass project, can you just clarify the 4% group CO2 saving, that's across both the first and the second phase of this project? And then more broadly, about the business. Karim, can I find anywhere the disclosure on your CO2 position and the hedges you have looking forward? And also, I see the environmental provisions at the group level, I think it was just over EUR 600 million at the end of the quarter. Can you give any indication how much of that specifically resides to the soda ash business?
Ilham Kadri: So for your first question -- this is Matthew? Yes. The first question is yes. It's both boilers, right? So 1 and 2, obviously, 4% is a big deal. And these projects, the emissions at Reinberg soda ash will be less 65% relative to 2018. The question about the provisions arise -- and what was another question, Karim?
Karim Hajjar: On CO2. So there is -- and I'll ask Ilham to give me the reference in the annual report as to the disclosures on CO2. So we'll come back to you on that later on. But let me just maybe address 1 or 2 things. On the environmental provisions, we haven't disclosed provisions by business or territory or anything else. But what we did do is give more color. And again, for the guide -- for the benefit of everybody it's in our annual report, and I'll give you the specific reference in a few moments. We've shown you, for example, regional breakdown. This is not quite a business, but again, our desire is to genuinely give you much more clarity as to the approach on things like environments and liabilities. So I'll come back to specific references on -- in our own report, but I will say to you, I will confirm that we don't disclose specifics on a particular business. On the hedging, what we have indicated previously, and I can confirm is that we are substantially hedged in terms of the group CO2 emissions, certainly through to the period of 2025 in a very complete level, and we're also extending that to 2030. We don't give the details of the quantum or the value because, as you appreciate, this is competitively sensitive.
Ilham Kadri: And actually, I think it's a good story for us, Matthew, because since 2019, I remember when I joined the company, CO2 pricing was low EUR 20s. It's now probably more EUR 50, right? And our -- I mean, we have really pursued a very aggressive hedging policies. I always believe that -- actually, since 2019, our internal carbon pricing was EUR 50 believe it or not. And we stress tested all the projects coming to the Executive Committee and I had 75 already. And now obviously, we are raising the bar internally. At that time, we were somewhat wondering if we are not just killing some good projects. But I think, with time, it has proven to be right because the hedging and being almost fully hedged by 2025, and we are even doing more post 2025 it's a competitive advantage. Thank you, Matthew.
Operator: So we have another question from Chetan Udeshi from JPMorgan.
Chetan Udeshi: Yes. I just had a question on your PVDF, where I think there is a mention in the report about 80% growth in the battery materials market. Can you help us understand how big the business is today on a run rate basis in terms of sales? And how is the margin in this business relative to the overall Specialty Polymers or Advanced Materials market? I mean what I'm trying to get to is, is this a business which comes at high growth, but with a lower margin just because maybe there is a bit more competition in this industry?
Ilham Kadri: Yes, it's a great question, Chetan. Obviously, you've seen, since 2019, we launched the EV battery, and I always believe that this is strategic for Solvay and for materials, not only because of the batteries, I mean our -- I always ask a business, what is your core competency. And our competency, like I mentioned, that we replaced metal for light weight, we also separate in general, that's our -- yes, core competency, technical competency, and we do it in material, in mining, et cetera. So PVDF is a membrane you find it in several applications. It goes to, obviously automotive, as you know, but also to reversal small this year in water, which was one of my previous roles in life and other applications to -- it's another technology to hemodialysis in health care. So yes, we are doubling down in. We believe that the market CAGR till 2030 will be around 30% minimum. We've seen a major growth in the past years and what has been a bit of a hype and a question mark, it's now confirmed, right, that this growth is sticky. Talking to OEM just early this week because of the shortages, obviously, of PVDF as well have actually supported my conviction that is the right thing to do. On margins, this is higher margins than other products we have. And to give you an example, Chetan in this very tight supply demand, because we are almost sold out in this. We have to prune the portfolio, which we did. So everything below 75% contribution margin in that line is out. So we had to cut it, right with long-term commitments on businesses, yes? On -- and I know that you know this value chain, basically, and obviously, the question is where is the money? And obviously, we are not assembling batteries, and we are not playing in the cathodes and the anodes, et cetera. We are really circling the batteries from the ingredient perspective and extracting the right value for our business with the right economics. The other thing I would like to mention here is that we are agnostic to technology, as much as it can appear a bit surprising. So whatever you talk about including LFP, and there have been a lot of press and news about the lithium iron phosphate is when non material used primarily in China for vessels and in stationary. And it has advantages and disadvantages. Advantages being cost and safety and disadvantages lower energy density. It has been declining option maybe even 2 years ago when I joined the company, and now it's surging again as a viable option to produce maybe low-cost cars and facilitate customer acceptance. So we're not impacted like cathode manufacturers at all. At Solvay, we develop guidance for all type of cathodes. Moreover, actually, the good news is that the consumption of binders for LFP is higher than for competing cathode chemistry, like NMC, the nickel manganese cobalt. So it's just good news. We didn't disclose, Chetan, the numbers, obviously, for competitive reason, but yes, it's growing extremely fast. We doubled our capacity since 2019. Last year, we did a line for [indiscernible] in France, which started January this year. The second line is Chang Shu, which will start in quarter 1, 2022. And we are studying the business case location to be confirmed and determined in Europe, and more soon. Back to you.
Karim Hajjar: Before we go to the next question, I'd like to maybe just revert to Matthias' question in terms of CO2 and environmental disclosures, just to make it easier. The references to the 2 questions are shown on Pages 119 and 230 of the annual report. 119, we see the beginnings of the extensive disclosures on CO2 and 230 also the beginning in relation to our environmental liabilities. Thank you.
Operator: This is now the question from Alex Stewart from Barclays.
Alex Stewart: Could I just circle back to soda ash again, and talk about the pricing a bit? We know that the contract -- the annual contract probably settled down i soda ash this year, as reported earlier in the year. Your pricing to the chemical division overall is positive too. Could you talk about the -- how much impact lower prices had on EBITDA in the first quarter? I'm always interested about the NSAC announcement that they're going to start raising contract prices because the market is tightening. To what extent would such a move affect to you in terms of your exposure to quarterly pricing or monthly pricing compared to annual? Any sense around the impact of those would be really helpful.
Ilham Kadri: Yes. Thank you. Great question. Yes, on soda ash I'll take it, Karim. You will remember that big parts of our business is contracted, obviously at soda ash at the fall for the year after. You will remember that good public proxies, the IHS price index, right, this is an average of the prices available in the market. But you can imagine, and you probably know that Solvay is usually on the high end of this index and far better than average. For most regions, IHS publishes yearly indexes. And those have no changes -- they rarely change it, and display significant price decrease in '21 versus '20, and this is how we entered the year, right? I mean, by memory, minus EUR 11 in EU and minus $35 in Latam, EUR 13 Asia and EUR 5 in the U.S. Again, we don't expect those indexes to change. On average, we aim at better than IHS prices in Europe and NAFTA. Most of our prices, not all of them are locked for the year by contract. We have quarterly or semesterly prices only in APAC, LATAM, limited in other regions. Obviously, you talked about NSAC, and we read the same thing. They announced in March USD 25, I believe, per ton price or 10% increase on their open volume. Note as well that the sea freight cost increases are mostly in the EU outbound flows. And NSAC is probably less impacted because they operate their own vessel fleet. So we are encouraged by those pricing announcements. Our business will continue to strive for better performance. And you know that we have a great track record of outperforming the industry. Obviously, the price decreased year-on-year has impacted the bottom line of soda ash. But at the same time, soda ash is a great -- it's a great business run by top-notch leaders who know how to manage commodities and supply demand. And you've seen it in probably when the Turkish capacity came on stream before my time, and I saw it first-hand since 2 years. And we have -- we started the year already with our cost-saving program, which is well underway, and they are doing what it takes. And thanks to those prices increase and us, like we did last year, we applied the same strategy. There are some volumes we didn't take. We did it in 2020. And I think I was very public about that. We took the same stance. We have obviously our key customer strategic, et cetera. But we have some volumes very open, which now we are negotiating at higher prices. Those are the open volumes, and we are very picky, but we continue driving and striving for excellence in cost and productivity. And obviously, you see it in energy transition, not only cutting the CO2, but being competitive because the thing I didn't -- but you will see it in the PR is that Rheinberg, not only the lowest CO2 emitter in the world. And it's building a precedent and global benchmark, including versus natural, but it will be competitive versus landed natural in Europe. So that I call it in our old jargon, [Lagunitas] for Scientific in Europe. And it's something we -- I'm very proud of the team who works very hard on this. So yes, we have the same observations. And we are working on that on managing our pricing and pushing them. Back to you.
Alex Stewart: Can I push you to give some idea or some sense of what the earnings impact was in the first quarter, any sort of indication on that would be really helpful.
Ilham Kadri: On the bottom line, on soda ash?
Alex Stewart: Yes.
Karim Hajjar: Yes. I think that would represent a new precedent, which we don't want to go there. I did say that the impact on the segment was, I think, minus 3% from memory, I have to revisit my notes, and that is predominantly soda ash. But as you also know, we have a little exposure to the spot market. So the announcements that you quote correctly will give us a tiny bit of tailwind, but we are well positioned as leaders in this business.
Operator: So we have another question from Sebastian Bray from Berenberg.
Sebastian Bray: It comes back to the theme that Chetan mentioned earlier on electric vehicle exposure at Solvay. Ilham, I believe you've got on the record or at least mentioned in the past that the PVDF sales were approaching EUR 100 million back in 2020. I'm trying to understand where this is located. Because the press release and the presentation of Solvay both make reference to strong sales of electric vehicle-related products within Specialty Polymers. But I thought originally that PVDF is primarily focused around the Special Chem segment. Can you give an idea of the main products from both of these that flow into electric vehicles, an idea of magnitude, which is the bigger absolute exposure in sales, Special Chem or Specialty Polymers? And how exactly these products differ from each other?
Ilham Kadri: Thank you, Stephan. And if I say it's my apologies to Chetan, actually it's much higher than that. So anyway, moving to what it is. No -- the PVDF is part of material, Sebastian. So it has never been part of Special Chem. Special Chem is more on the catalysis part of -- and on the ice by the way, until our convention engine and in rare-Earth, right, type of separation. It's a membrane. It's part of our customers, they produce the membrane, but you -- we -- it's part of the material segment, part of Specialty Polymer. Where we produce? This is a great news, we produce in all continents, right? We're capable of producing in Europe, in the U.S. and in China for Asia, right? So -- and this is extremely key for our customers, right? It's extremely key. And you know that Europe is putting a lot of money and stimulus into building the value chain after it's -- the areas of batteries, right, and they are keen to have the value chain. And more than just having the batteries, right, assembly. So we are working with all the battery players. I mean our -- these are traditional customers, you know them, from LG Chem, Samsung, the Chinese Caitlyn and Panasonic, and you name them, but also the emerging European rights from the Nordics to the French, to the German, et cetera. And we've seen the Koreans investing in Eastern Europe heavily. Germany as well. It's a big investment. France went for a national alliance called S.A.S. and we are working with them. So all of this, it's real. Obviously, if you look at quarter 1, Sebastian, you will see that if you look at hybrids, and even electric, you see that China production is leading the world production followed by Western Europe and the last one is the U.S. approaching 100% quarter-to-quarter. So we are at that, right? We are really following the market and even outperforming as we can bundle several technologies and sell it together to the same OEM for lightweight and electrification. And by the way, both go together because if you may remember, a few years back, half of the cost, which more than a few years, probably 6, 7 years, half of the cost of EV car was battery. Now it's probably 30%, 20%. And talking to the OEM, they want it smaller, safer, cheaper, right, and better technologies. So this is our generation 2, which we produce all over the world. We're working on generation 3 to 5, 5 being the solid. Now the solid is 2025 plus. So -- but the solid will be a fabulous technology breakthrough because it's pure safety and the most condensed battery you can imagine technologically-wise. So we are working on all of those. And our hub -- we have now 3 hubs in the world. The Biden administration is investing in charging station, which is extremely important because that's often the problem. It's not technology, OEMs willingness is that there are not enough charging station along the roads. And Biden has announced bill or plan to do so. So we expect that there will be also probably lesser than in Europe or China, an increase in EV also in the United States.
Sebastian Bray: Just to clarify on this, Ilham, could I just make sure that I get the points here that are currently confirmed by Solvay. So my understanding is that the sales within Specialty Polymers segment, largely of PVDF to electric vehicles are substantially over EUR 100 million per annum. And the main applications are cathode binder and use in membranes. Is that correct? Or have I got it wrong?
Ilham Kadri: Again, the number is much more than that, right? It represents a significant amount of Specialty Polymer growth. The -- we are in the separator, right, Sebastian. So between the cathode and the anode, you had also PVDFs into the compartments, right? And then we are in other things from Specialty Polymers or thermoplastic composites. Yes. So yes, it's a specialty products. You have answer your question on.
Sebastian Bray: Yes. Would you feel more comfortable with a figure of EUR 200 million? Or am I pushing my luck with that guess?
Ilham Kadri: Well, I say no to Chetan, Sebastian, I don't want to create issues, yes. We'll share in due time. And I think we are growing nicely. It's a competitive advantage. There is much capacity being discussed. It's really unique and differentiating because it's not only about making PVDF, by the way, it's the vertical integration on raw material to produce PVDF. So that's something which is also very unique to Solvay. And yes, we are very excited about this, but our ability to innovate, again, with lower cost technology to lower total cost of ownership an agnostic technology to the type of batteries, which I think is a remarkable way of innovating in these segments?
Jodi Allen: So operator, I think we have time for at least 1 more question, maybe 2, depending on -- if there's no follow-up.
Operator: Okay. No problem. We have -- so the next question is from Laurent Favre from Exane BNP Paribas.
Laurent Favre: Yes. Karim, I'm going back to your comments on cost savings on permanent cost savings of EUR 80 million in Q1. Given the run rate over the quarters last year, it doesn't seem that the comps are getting tougher for that number. So I'm a bit surprised that from EUR 80 million you would assume that we come down to EUR 200 million. So are we -- are you factoring in the reversal of the temporary savings? Or should we assume that there are more costs coming in, including on resources, R&D, et cetera?
Karim Hajjar: No, it's an interesting comment that you make. No, fundamentally, what we're saying is this, we delivered EUR 175 million last year, and you can see the buildup of that momentum coming in EUR 45 million delivered last year. And all I really said is we got about temporary cost savings, et cetera, which I'll get to in a minute. But what we really said is this, we've delivered structural incremental additional cost savings of EUR 80 million. Now if I compare it to what we were expecting in our budgets, it is higher. There's an element of acceleration, and that's why I referred to the phasing component. But it's also deeper than what we were expecting, which is one of the reasons we said, you know what, we can do more, we will repeat, let's raise the bar and go from EUR 150 million to EUR 200 million. Now if I take your question differently and just look at 2021, clearly, we're battling against inflation, and that is there to erode some of the savings, but that's tiny in relation to the EUR 80 million delivered, looking at nearly EUR 10 million to EUR 15 million of inflationary cost impact, fixed cost impact at this point. Last year, where you're absolutely correct. Is that we had just over EUR 150 million of temporary cost savings, which we're not going to see repeated. And in fact, the philosophy is also changing because what we're saying is every single thing that's being delivered will be continued, will be sustained. And that's almost like the step changing gear that was -- is happening right now on the cost agenda. But what I did say is you can't just extrapolate to multiply by 4 the figure of EUR 80 million, precisely for the reasons I've expected. And also, to your point, the comps will get tougher because clearly, the programs have built momentum during the course of last year, and you can't maintain the same rate of momentum growth as you go forward as you'd expect.
Laurent Favre: Excellent. And if I push my luck on RusVinyl, Ilham, can you remind us whether this for you is a stake that you intend to keep? Or whether you're -- well looking for the right moment to get out? And I'm just wondering why you called -- why you took the call option on the EBRD stake?
Ilham Kadri: Good question. Well, listen, the call action -- option, sorry, exercised by the European bank for reconstruction and development called EBRD, you saw it in Q1, is related to 52%, right, Karim? 50% -- 52%, what, capital investment with Solvay in the JV, this happened in 2011. We also had in place put on call option arrangements with EBRD, and as a consequence, the contribution to the capital was accounted for as a debt in the group's accounts. And this is in line with IFRS, obviously, rather than equity or minority interest. So first of all, at the end of the day, the rationale for doing it now that your question 1 is the option value is close to the floor now and is expected to increase in the future with deleveraging of RusVinyl. And we like -- I mean, we like it, right? I mean, financially, you've seen that, frankly, we didn't extract much dividends from this for many, many years. And I was lucky when I joined the company, we started really getting -- collecting some fruit. The second is that the EBRD, and you know their mission, supports and influence in Russia is not considered as assertion anymore. So that's it. I think that's the only reason why we did it now. It makes sense economically.
Operator: We have a last question from Andreas Heine from Stifel.
Andreas Heine: l'll keep it very brief. The 1 is, as you said, you have closed all the divestments, maybe you can share what the net proceeds were for all of them. And secondly, on Coatis, looking into Q2 after this outstanding Q1, will be Q2 as good as Q1 before might start to normalize?
Ilham Kadri: Sorry, what was the second question?
Andreas Heine: The second question. The question was Coatis, which had an outstanding quarter, Q1. Yes.
Ilham Kadri: Would you like to talk about divestments ratios.
Karim Hajjar: Sure. We will absolutely not hesitate to give you color and quantum on significant divestments, but tiny, small divestments or for that matter, acquisitions, we typically, as is normal practice, we wouldn't quite do so. What I can highlight is that the total revenues that we expect to be divesting is of the EUR 0.3 billion on an annualized basis. You're not going necessarily see all of that in this year, annualize that exactly what you'd expect to see. And that is also one of the reasons we said scope and effects we're talking about those 6 small divestments. Your second question on coatis was around our expectation for the evolution of that business into the second quarter. Is that correct?
Andreas Heine: That's correct, yes.
Karim Hajjar: That's correct.
Ilham Kadri: Okay. Well, you've seen -- and I'm very proud of the Coatis team. We've done plus 65% right in quarter 1, and it's mainly driven by, obviously, volumes and pricing, right? And they did really a great job. I'm really proud of them. They leverage on short market opportunities. As other competitors were on force majeure, basically, including the Texas weather challenges. Meanwhile, the raw material costs were still low in fixed cost under control. By the way, coatis since last year, we completely turn it around in terms of cost structure. This is behind us. It's not part of the new program. And I think our President, Daniela, did a great job with her team. So we had very positive -- first of all, very positive dynamic, a tailwind from Texas freeze. Ports still need to resume operation, raw material shortages, low inventories, they faced high freight impacted past directly on our customers. I think the freight cost between China and Brazil was just insane. So we just played what a good business men and women can do -- a women, by the way, in this case, but also strong performance beyond the good market dynamics and the team had a good ability to respond promptly to demand while leveraging the price power. And the last -- before I answer the sustainability of it is the innovation and the strength of it because we have biosource ingredients. This is our line called OGIO products, which is sold out, by the way. We are -- as I mentioned in my speaking notes that we are investing and doubling downing because it goes to consumer goods and food applications, and it's coming from glycerin. So it's highly wanted by our customers. Listen, the situation is still tight so far. So we'll continue enjoying what we'll enjoy. Meanwhile, we are not really sleeping on our laurels. I think the team not only sweating the assets, but also improving the cost position. And wherever we can, we also negotiate longer-term contracts, right, in this favorable environment. So we will share with you in the coming quarter, right, how things evolve for coatis. Very proud of them and happy that they are under the -- yes, the light during this quarter. So I think Jodi, maybe the right to close the call, if there are no more questions here. Well, listen, very much. I think I say this probably [indiscernible] we would like you to remember from us is the resilience and we've proven it last year, and we still continue, right? And we are at the rendezvous of the recovery. And we are just all the relied focused and obsessed by customers. And 1 eye on the telescope, and we are reinvesting as we prepare the rebound for 2022, and that's what we are doing. And thank you for your attention and questions. Thank you. Have a good evening. Bye-bye.
Jodi Allen: Thank you, everyone, for joining our call today. And as a reminder, you can always reach out to the IR team with questions, but we hope spending some extra time with you today. It was worthwhile. Thank you so much.
Operator: Thank you, ladies and gentlemen, this concludes today's conference call. Thank you all for your participation. You may now disconnect.